Operator: Good afternoon. My name is Jacqueline and I will be your conference operator today. At this time, I would like to welcome everyone to the Domino's Fourth Quarter and Year-End 2016 Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be question-and-answer session. Thank you. Tim McIntyre, you may begin your conference.
Timothy P. McIntyre - Domino's Pizza, Inc.: Thank you, Jacqueline, and good morning, everyone. Thank you for joining our fourth quarter and full year 2016 earnings call. Before we begin, all of us at Domino's Pizza want to join the rest of the investor community in acknowledging the loss of Joe Buckley from Bank of America late last year. Joe was a gentleman and a friend to many of us and we will miss him. As you know, this call is primarily for our investor audience, so I kindly ask that all members of the media and others be in a listen-only mode. I also refer you to our Safe Harbor statement that is in both this morning's 8-K release and our 10-K, in the event that any forward-looking statements are made. We'd also like to take a moment to acknowledge and welcome Domino's new General Counsel, Kevin S. Morris, who joined the company on January 2. He's here with us this morning. Our plan today includes prepared comments from our Chief Financial Officer, Jeff Lawrence; and Chief Executive Officer, Patrick Doyle, followed by your questions. One minor note, our presenters are normally in the same room when we conduct these calls, but they are in different locations this morning, so it might help if you have a question specifically for Jeff or Patrick, to let us know that. And with that, I'll turn it over to Jeff Lawrence.
Jeffrey D. Lawrence - Domino's Pizza, Inc.: Thank you, Tim, and good morning, everyone. We are thrilled to report our results for the fourth quarter and full-year fiscal 2016. During the quarter, we continued to build on the positive results we posted during the first three quarters of the year, and delivered fantastic results for our shareholders. We continue to lead the broader restaurant industry, with 23 straight quarters of positive U.S. comparable sales and 92 consecutive quarters of positive international comps. We also continued to increase our store count at a record pace, as we opened nearly 1,300 net new stores in 2016. These factors all contributed to our EPS growing 28.7% over the prior-year quarter adjusted EPS. Before we review more of the numbers, I would like to remind everyone that our fourth quarter result in 2015 included an extra week and the impact of our 2015 recapitalization. Typically, our year consists of three 12 week quarters and a 16 week fourth quarter. But the fourth quarter in 2015 consisted of 17 weeks. These items affected the comparability between our 2016 and 2015 financial results, and is outlined in more detail in our earnings release filed this morning. With that, let's take a closer look at the financial results for the fourth quarter. Global retail sales, which are the total retail sales at franchise and company-owned stores worldwide, grew 7% in the quarter. When excluding the impact of foreign currency and the extra week in 2015, global retail sales grew by 18.1%. The drivers of this retail sales growth included strong domestic same-store sales, which grew by 12.2% in the quarter. Broken down, our U.S. franchise business was up 12.1%, while our company-owned stores were up 13.7%. Both of these comp increases were driven by order count or traffic growth, as consumers continue to respond very positively to the overall brand experience we offer them. Our Piece of the Pie loyalty program continues to contribute significantly to our traffic gains, while overall ticket decreased slightly during the quarter. It was the third year in a row that our fourth quarter domestic comp increased double digits. Moving to the unit count front, we are very pleased to report that we opened 98 net domestic stores in the fourth quarter, consisting of 104 store openings and 6 closures. For the full year, we opened 171 net domestic stores. Our International division had another solid quarter, as same-store sales grew 4.3%, lapping a prior year increase of 8.6% and, like the U.S. business, driven mostly by traffic. Our International division also added 461 net new stores during Q4, comprised of 487 store openings and 26 closures. For the full year 2016, we had record international growth of 1,110 net new stores, which did include 254 store conversions. Our international growth continues to be strong and diversified across markets, driven by outstanding unit level economics. When adding domestic and international store growth together, we opened an all-time brand record 1,281 net new stores globally, demonstrating the franchisees' excitement and commitment to our global brand. Turning to revenues, total revenues for the fourth quarter were up $78.3 million or 10.6% from the prior year. When excluding the extra week in 2015, revenues were up 18.5%. This increase was primarily a result of three factors: first, higher supply chain center food volumes, driven by strong U.S. comps and (5:58) store growth; second, higher domestic same-store sales and store count growth resulted in increased royalties from our franchise stores and higher revenues at our company-owned stores; and finally, higher international royalties, again, from increasing store sales and store count growth, which were partially offset by the negative impact of foreign currency exchange rates. Currency exchange rates negatively impacted international royalty revenues by $2.7 million versus the prior year quarter, due to the dollar strengthening against certain currencies, primarily the British pound. For the full fiscal year 2016, foreign currency negatively impacted royalty revenues by $8.9 million. Now, moving on to operating margin, as a percentage of revenues, consolidated operating margin for the quarter was relatively flat at 31.1%. The operating margin in our corporate stores decreased to 24.8% from 26.5%, driven primarily by higher food cost, higher transaction-related expenses, and increased depreciation expense from our Pizza Theater reimaging program. Lower insurance expenses benefited the operating margin and partially offset these decreases. The supply chain operating margin increased to 11.2% from 10.8%. The primary driver of this increase was also lower insurance expenses versus the prior-year quarter. Commodity cost decreased slightly this quarter and did not have a material impact on the operating margin. Let's now shift to general and administrative expense. G&A increased by $11 million in the fourth quarter versus the prior-year quarter. Excluding the estimated $4.7 million impact of the extra week in 2015, G&A rose by $15.7 million, due primarily to several factors: first, our planned investments in technology, primarily in e-commerce and other technological initiatives and the teams that support them. Please note that these investments are partially offset by fees recorded as revenues that we receive for digital transactions from our franchisees. Second, our strong performance led to higher performance-based compensation expense. And third, higher advertising expenses at are company-owned stores, which increased as a result of our positive sales growth. Moving down the income statement, interest expense decreased by $6.9 million in the fourth quarter, as the prior-year quarter included $7.3 million of charges related to our 2015 recapitalization that did not recur in 2016, as well as an extra week of interest. Our weighted average borrowing rate was 4.6% during the quarter, while our effective reported tax rate was 38% for the quarter. When you add it all up, our fourth quarter net income was up $10 million, or 15.9% as reported. Our fourth quarter diluted EPS as reported was $1.48 versus as reported EPS of $1.18 the prior year, which is a 25.4% increase. When comparing fourth quarter as reported EPS to the prior year as adjusted EPS amount of $1.15 a share, it was an increase of 28.7%. The fourth quarter of 2015 EPS was adjusted for items effecting comparability, which again is detailed in our earnings release. Here is how that $0.33 increase breaks down. Lower diluted share counts, primarily as a result of share repurchases during the year, benefited us by $0.12. Our higher interest expense negatively impacted us by $0.03. Our higher effective tax rate negatively impacted us by $0.04 and FX negatively impacted royalty revenues by $0.03. Most importantly, our improved operating results benefited up by $0.31, which does include $0.02 of a positive impact from the New Year's calendar shift. Now, turning to our use of cash, first and most importantly, we invested nearly $60 million in capital expenditures for the full year, as we continue to aggressively grow our technology capabilities. During the fourth quarter, we repurchased and retired 102,000 shares for $16.4 million, at an average purchase price of approximately $160 per share. During the fourth quarter, we also returned $18.2 million to our shareholders in the form of our quarterly dividend and made $9.6 million of required principal payments on our long-term debt. Over the trailing-12 months, we have returned nearly $375 million to our shareholders in the form of share repurchases and dividends. As always, we will continue to evaluate the most effective and efficient capital structure for our business, as well as the best ways to deploy our excess cash to the benefit of our shareholders. As we look forward to 2017, I'd like to remind you of some information we shared at our Investor Day just in January. We currently project that commodities we use in our U.S. system will be flat to up 2% as compared to 2016 levels. We estimate that foreign currency could have an $8 million to $12 million negative year-over-year impact on royalty revenues in 2017. For general and administrative expense, we expect to increase our investment in e-commerce and technological initiatives, which, please remember, are partially offset by transaction fees we receive. We expect total G&A expense in the range of $340 million to $345 million for 2017. Please do keep in mind that G&A expense can vary up or down by, among other things, our performance versus our plan, as that affects variable performance-based compensation expense and other costs. In 2017, we expect our gross capital spending to be approximately $75 million, as we will continue to invest capital into our technology and our supply chain capabilities. Overall, our tremendous momentum continued, and we are thrilled with our results this quarter and for the full year. We will remain focused on relentlessly driving the brand forward and providing great value to our shareholders. Thanks again for joining the call today. And with that, I will turn it over to Patrick.
J. Patrick Doyle - Domino's Pizza, Inc.: Thanks, Jeff, and good morning, everyone. What a year it was. While our results and performance certainly speak for themselves, when I think about 2016, two things absolutely stand out: first, the global alignment around our steady approach, based on continued fundamental strength and our long-term mentality; and second, the relentless energy and passion demonstrated by our franchisees, team members, and leadership in once again facing the challenge of sustained success head on. I am frankly not completely surprised by this, when keeping in mind who and what we are: true pizza people with an uncommon passion for what we do. Over 90% of our domestic franchisees started as drivers, pizza-makers, and hourly workers in our stores. And this home-grown culture shapes so much of what we do and how we do it. I'm constantly reminded and always proud to see that complacency just isn't a part of our global culture. Instead, we remain mindful that we are a work-in-progress brand. And our constant focus on permanent improvements in the customer experience reminds us to never stop working to be better than we were the day before. Those who joined us for our Investor Day last month heard me talk about how true sustainable competitive advantage takes time. 2016 was an outstanding year, but this is about much more than just a quarter or a single year timeframe. It goes back over a decade, a time period defined by smart disciplined risk, difficult decisions, investing and innovating to win, and always keeping the long-term in mind with every move we've made. It was critical that we think differently about how to have the best food and approach our menu, operations, and new product strategy in new and different ways. It was critical we position ourselves for future technology innovation, which today stands unmatched by anyone in our category. It was critical we take a hard look at our store image, and put a defined plan in place to get it right. And it was critical that we establish the strongest, most mutually-productive and profitable relationship with our franchisees of anyone in the industry. While much of this won't show up in headlines or on a press release, these elements have created the foundation and fundamental strength that continues to drive our success. Our domestic franchisee base has never been stronger. And we certainly had a strong finish to 2016, with phenomenal sales results during the fourth quarter and full year. Our international business completed its 23rd consecutive year of positive same-store sales growth and, in what is becoming a familiar story, another year of amazing store growth. And around the world, on average, we opened a new Domino's store every seven hours in 2016, which is an amazing thing to consider. The business model continued to show its strength, with impressive flow-through to the fourth quarter and full year bottom line. This, coupled with our second consecutive year of double-digit same-store sales in the U.S. and another rock-solid year across the rest of the globe, shows that our global alignment and brand momentum have never been stronger. I used the word phenomenal when describing our domestic business last quarter, and I'm starting to run out of adjectives. So let's go with this. Our fourth quarter was remarkable. It marked our 23rd consecutive quarter of positive same-store sales, and a rather astounding 34% on a three-year annual basis. This truly demonstrates our commitment to sustaining success and is a testament to our long-term steady strategy at work. I couldn't be more proud of our U.S. franchisees and corporate team members for a job incredibly well done in 2016. And on that note, I'm very pleased that our franchisees are reaping the rewards of their hard work. 2016 marked a new record high in our eighth consecutive year of increasing domestic franchisee profitability, with an average of close to $135,000 per store. Store level EBITDA is a figure we care very much about, and is one valuable way to measure health of the business against competitors and the industry, which is why we provide it to you in such a straightforward, transparent manner. Our goal of being number one for customers is matched only by our goal of being number one for franchisees. Healthy unit economics are a key way to ensure this. And it's fair to say this was very much the case again in 2016. Domestic store growth continues to show impressive momentum. We opened 98 net domestic stores during the quarter and 171 net domestic stores for the year, the best in over 15 years. We are nearing completion of our Pizza Theater reimage program and we'll be substantially done by the end of 2017. I remain encouraged by our team's efforts and our domestic franchisee's focus on continuing to invest to grow and win. U.S. store growth is certainly in area of the business with work still to be done, but very much continued in the right direction in 2016. In addition, I'm also very pleased to report that we set another record, one that's very special to me and everyone in our entire system. Domino's participation in the Thanks and Giving campaign raised a record $7.3 million for the kids of St. Jude Children's Research Hospital. It was our fifth consecutive record-setting campaign and brought the total money raised since partnering with St. Jude 13 years ago to over $38 million. I sincerely thank our customers and franchisees for their support of this very proud partnership. To wrap up our domestic business, I am confident our people remain focused on the future rather than on the past. But with that said, I offer very deserved congratulations to our U.S. franchisees and corporate team members for a truly outstanding 2016. The accolades certainly don't stop in the U.S., as our international business wrapped up an excellent 2016 with strong sales and outstanding store growth. Our net store growth of 1,110 is the highest in our history and included successful completed conversions in South Africa and Germany. We opened our 8,000th international store, as well as a new market, Sweden, during the fourth quarter. Our recent highlights include both China and Indonesia reaching the 100th store milestone and both Germany and The Netherlands hitting the 200 store mark. In their most recent earnings release, three of our four public master franchisee partners announced double-digit same-store sales growth. Standout markets included Australia, Canada, Brazil and Russia. In the face of some challenging market economics and the highest year-end sales comparisons in our recent history, the best international model in QSR came through once again with a tremendous year. Our master franchisees worldwide are simply getting it done, growing at a rapid pace, executing at high levels and extending the Domino's experience to new neighborhoods and customers throughout the world, each and every day. It is impossible to focus on our results and the importance of innovation, without a few digital highlights. 2016 was another big year, as our digital lead remains unquestioned and our innovative ordering platforms remain unmatched. I am very pleased at the true global expansion of our technologies, platforms and processes. We now have 25 markets using our global online ordering, a program with terrific potential that I continue to be very excited about. And our international markets are at nearly 50% of total sales coming from digital. More than 11,100 total stores are using Domino's PULSE, our proprietary point-of-sale system. And in today's digital landscape, common POS has become a major differentiator. We will continue to take this competitive advantage we have created in the U.S. and grow and implement it across the globe. In the U.S., we reached 60% of sales via digital channels at the end of 2016. And while this is a nice threshold on paper, I continue to reiterate that touting percentages is not what truly tells our digital leadership story. Instead, I urge you to focus on our unyielding commitment to offering the best digital experience possible: direct partnerships with global technology leaders, Apple, Amazon, Google and Facebook, just to name a few; more ways to order and access the brand than any within our competitive space; and a simple focused digital loyalty program that customers can easily join and even more easily understand. We remain very committed to investing to win and in maintaining this important lead. There's not much else to be said about what was an extraordinary year for Domino's. In closing, I reiterate three things. Our strategy remains consistent. We didn't accomplish success in 2016 by changing course, and we certainly don't plan to now. Fundamentals will lead the way. We will continue to play to win. This means disciplined investments, relentless innovation and continuing to take smart risks. And lastly, we genuinely remain a work in progress brand, always seeking to improve and progress. As much as we are proud of our success, we wake up every morning motivated to improve what we continue to see as a customer experience that can get much better, and we remain as committed to this as ever heading into 2017. Thanks. And I will now open it up for questions.
Operator: Your first question comes from Brian Bittner from Oppenheimer & Company. Your line is open.
Brian Bittner - Oppenheimer & Co., Inc.: Thanks. Congratulations on a wonderful 2016, guys. The question is now that you have a year of hindsight, when you look back at first quarter of 2016 and what happened from there, you accelerated from there and you never looked back. I understand that there are many factors that are contributing to your strong sales results, but you did mention and pointed out the rewards program as a big contributor to more recent success. Do you have any way of fully understanding the magnitude of this impact and anything you can share with us on what that may be?
J. Patrick Doyle - Domino's Pizza, Inc.: Yeah Brian. I guess, we're going to repeat what we've said before, which is, it was a significant contributor to our comps in 2016. We do know pretty exactly how much of our comp came from the loyalty program. But we're not going to disclose that for competitive reasons. But what I would reiterate was, it was a significant part of the progress for 2016, but along with a lot of other factors that were going right. But clearly, it worked for us and we continue to be very positive about it.
Brian Bittner - Oppenheimer & Co., Inc.: Okay. And then, just last question on the carryout business, are you seeing growth, same-store sales growth, in line with the delivery business or faster or slower than the delivery business?
J. Patrick Doyle - Domino's Pizza, Inc.: No, it's been pretty consistent across carryout and delivery. And it has grown as a percentage of our business over the last 10 or 15 years. So carryout has, in general, grown a little bit faster than delivery, but when I joined Domino's almost 20 years ago, we were 85% or 90% delivery. It's now more kind of two-thirds, one-third. So over time, our carryout business has grown faster, but more recently, I think they've been growing pretty much at kind of the same pace.
Brian Bittner - Oppenheimer & Co., Inc.: Okay. Thanks, Patrick.
J. Patrick Doyle - Domino's Pizza, Inc.: Thank you, Brian.
Operator: Your next question comes from Chris O'Cull from KeyBanc. Your line is open.
Chris O'Cull - KeyBanc Capital Markets, Inc.: Great. Thanks. Good morning, guys, and congratulations on a great year. Patrick, we've heard a few of the larger players in the category talk about how sales stepped down in December and have continued to be pretty weak in the first quarter. Is there any evidence that you see that suggests the category has started the year off strong or weaker in sales?
J. Patrick Doyle - Domino's Pizza, Inc.: Yeah. I'm not going to get into this quarter's results, but if you look at a lot of the comments that have been coming out, they were as much about the fourth quarter as they were about kind of what they're seeing early in this year. And not to state the obvious, but with our comps for the fourth quarter, we clearly weren't feeling that. And so we continue to feel pretty good about the category overall through the end of fourth quarter, and I am not going to get into kind of talking about the first quarter, as you're used to us not doing.
Chris O'Cull - KeyBanc Capital Markets, Inc.: No, that's fair. And then, Patrick, are you seeing anything different among regional players in terms of their ability to compete?
J. Patrick Doyle - Domino's Pizza, Inc.: No. No, I think while we clearly grew share overall in the fourth quarter and we may have seen a little bit more of that coming from some of the national players than maybe in the past, we continue to believe that the big story over the medium to long term is, it is very tough to see how a regional player is going to compete against kind of the national players and the strength that we have with our digital platforms. So I think that the overall thesis of kind of the big national players taking share from the regional players continues to be in place. And as I've said before, the great small local player who knows half of their customers and they do a great job, they've got an ability to compete. But if they're not executing well or if it's a regional player trying to figure out how to compete with digital, I think it's very difficult for them.
Chris O'Cull - KeyBanc Capital Markets, Inc.: That's helpful. Thanks, guys.
J. Patrick Doyle - Domino's Pizza, Inc.: Thank you, Chris.
Operator: Your next question comes from Gregory Francfort from Bank of America. Your line is open.
Gregory Paul Francfort - Bank of America Merrill Lynch: Hey, guys. Can you talk a little bit about the – I think Patrick said there is still work left to be done on the domestic unit growth front. And I know that continues to step up. And how are you approaching growing demand from the franchisees to open new stores? Is there a pace of unit growth you're looking to get to or a pace of unit growth that would be too high, I guess, just trying to get a sense for how you're thinking about that stepping up going forward?
J. Patrick Doyle - Domino's Pizza, Inc.: Yeah. What you've seen, Greg, really is a very consistent upward trend in kind of our net unit growth. And that's certainly something that we hope is going to continue. We continue to see a big opportunity for unit growth in the U.S. As our same-store sales have increased, that only creates more opportunities for more stores to open up over time. So we continue to feel very good about the momentum you're seeing from our domestic store growth. We think there is still a very good runway for growth there. And the one thing that I would highlight, and we talked about this at the Investor Day, is look at the net store growth, but also look at it in kind of its component pieces. And what you'll see is we had a remarkably low number of closures in 2016, which is a reflection of the overall strength of our system right now. So not only are a lot of our franchisees optimistic and they're building more stores and we're seeing an increase in the gross number of openings, you're also seeing an extremely low number of closures. And I think it's important to kind of pull those apart both for us and kind of as you look at the category overall, to kind of understand the relative strength of our system right now.
Gregory Paul Francfort - Bank of America Merrill Lynch: Great. Thanks.
Operator: Your next question comes from Matt McGinley from Evercore ISI. Your line is open
Matthew Robert McGinley - Evercore ISI: Thank you. You consistently give this industry size data in your 10-K. And this year, it showed the pizza category having the best growth that it's had in about a decade, with carryout taking a lot of share. And I was a little bit surprised to see dining in was up quite a bit. So my question is, is that consistent with what you're seeing from competition in the category with dining in? And do you think that pizza as a category, which had been losing share for a long period of time, is having a renaissance where, as a category, it'll take share back from other formats?
Jeffrey D. Lawrence - Domino's Pizza, Inc.: Yeah, Matt, this is Jeff. When we think about the industry in the United States, you know, between $35 billion and $40 billion kind of growing low single digits over time, it's still a healthy industry, I think, overall. And when you look at the sub-segments of carryout and delivery versus dine in, we certainly believe that we are in the right two sub-segments of the pizza industry, both carryout and delivery, both different occasions, both different need states, both very profitable places to be in. You know, if we were to start a company today, we would start a company in carryout and delivery, and not in pizza dine in. And so, industry data is industry data. It's the best that we can get, but to me, the health of the overall category is there. Certainly carryout and delivery strength is there, particularly for us as we strive to out-compete the other folks in the industry. And, you know, we're glad we're not in the dine in business.
Matthew Robert McGinley - Evercore ISI: Got it. And my second question is on the international royalty rate. I know that can vary considerably based on the market that you're in, but that slipped a little bit in 2016. Is that a function of the markets that you're growing in today, and does that continue to slip, or should this be roughly at 3% on a go-forward basis?
Jeffrey D. Lawrence - Domino's Pizza, Inc.: Yeah. So overall, it's going to stay right in that kind of 3% number. It may inflect a little bit based on the mix of the market. Some folks pay a little higher than that. A couple pay a little bit lower, but 3%-ish is the number that you're largely going to see there. The one thing that I would tell you is, as we continue to push the point-of-sale system out globally, and, as Patrick mentioned, we now have 25 markets around the world not named the United States, that we deliver. We will deliver, in the next 24 hours, e-com capabilities to 25 countries around the world. Those digital fee revenues will go into international revenues as well. And so that may have a little bit of a play as you look to calculate kind of a rough royalty rate, but as you think about the contractual rate straight-up for royalties, the answer is, it should stay right around that place. The other thing you have, of course, is the conversion. You had 254 conversions in 2016. Out of the gate, we will generally, on a market-by-market basis, give them a little bit of royalty relief, as they've really put that money into changing the signs and the leaseholds and such. So, it works out for everybody. You're certainly seeing a really high number of those conversions in 2016, and so that also plays into it a little bit as well.
Matthew Robert McGinley - Evercore ISI: Okay, great. Thank you.
J. Patrick Doyle - Domino's Pizza, Inc.: Thank you.
Operator: Your next question comes from Will Slabaugh from Stephens. Your line is open.
Will Slabaugh - Stephens, Inc.: Yeah. Thanks, guys. Just considering the industry backdrop, the commodity outlook you gave earlier, and then the fact that it looks like you're continuing to take actually more share from peers, given what we've seen so far, how are you thinking about your aggressiveness around price points, as we look to your messaging for 2017? And do you feel like we're in an environment where you need to actually become more aggressive with the price points to continue to get these types of traffic gains, or do you feel like we've hit at least somewhat of a bottom in the near-term, in terms of where competitors are willing to go?
J. Patrick Doyle - Domino's Pizza, Inc.: No, Will, we've been incredibly consistent on our pricing for a number of years now. I mean, you go back four, five, six years, and we've been very, very consistent. So, overall, from a pricing standpoint, I really don't see it any more or less competitive right now within the pizza category than we've seen in the past. And I think you're seeing a very consistent approach to value from us as well. So I think it's a pretty steady-as-it-goes sort of environment from a pricing standpoint.
Will Slabaugh - Stephens, Inc.: Thank you. And a quick follow-up, if I could, on menu innovation, and then also kind of the customer and franchisee feedback as it relates to that. You've been very active here in the past few years, and very successfully, so I'm curious sort of what your customer is telling you in terms of, we're wanting more items, and also what the franchisee is saying in terms of, either we have the capacity to do that, or maybe we're sort of hitting a capacity issue at this point?
J. Patrick Doyle - Domino's Pizza, Inc.: No. I think what you've seen, Will, is our customers, obviously, just from how they are behaving, which is ultimately more important than even what they're saying, they're saying they're happy with our approach. And you know, what you've seen from us is maybe one new launch a year. They have tended to be permanent additions to our menu, which we think is important. We don't like spending time and energy and training and advertising on things that are going go away shortly after we launch them. And so I think you're going to continue to see that. And our franchisees, based on sales growth, on profit growth, they're clearly very happy with the approach that we're taking as well. And you've even heard that from some of our competitors. I mean, when you roll out new products, it requires focus and effort and training. And so our view is to do that only for things that we think are going to have a material impact on our business. And clearly, it's worked pretty well.
Will Slabaugh - Stephens, Inc.: Thank you.
Operator: Your next question comes from Karen Holthouse from Goldman Sachs. Your line is open.
Unknown Speaker: Hi. Good morning. This is actually Greg Holm on (37:52) for Karen today. I was just wondering if you could provide us with a reminder of any calendar shifts to consider for the first quarter, specifically maybe around Easter, whether we should expect any material impact from that?
Jeffrey D. Lawrence - Domino's Pizza, Inc.: Yeah, the shorter answer is no. There shouldn't be anything material for the Q1 calendar in 2017. It'll be more about how well we execute around the world.
Unknown Speaker: Thank you.
J. Patrick Doyle - Domino's Pizza, Inc.: Thank you.
Operator: Your next question comes from Jeffrey Bernstein from Barclays. Your line is open.
Jeffrey Bernstein - Barclays Capital, Inc.: Great. Thank you. Two questions; maybe first, just on the competition from the online aggregators, I know you talked about it at your Investor Day, whether it's – I know you book it as order or delivery aggregators. I'm sure you're closely watching that trend, especially as they go after what seems to be your delivery dominance. I'm just wondering what you look at to assess maybe the success of these third-parties and how you go about protecting your moat, if you do anything different, as you see them start to have some success or whether there's just, at this point, no near-term concern from that perspective. And then I have one follow up.
J. Patrick Doyle - Domino's Pizza, Inc.: Yeah Jeff, we continue to watch it very, very carefully. And as we've said at our Investor Day, it frankly has done maybe a bigger sort of an impact outside of the U.S. than inside the U.S. And I would particularly call out China, where the aggregators are very developed, but in the U.S., our share of total digital food orders has been flat to even up. So I'm not talking about the share of our orders that are digital. I am talking about the share of total digital food orders that are going through Domino's. We're continuing to be very, very strong overall. And so near-term, we still have not seen any real impacts. We think the economics of our model and the fact that, frankly, for our franchisees, we are, by far, the best deal in town, we think is part of why we're able to be successful continuing to drive growth with our digital orders and our overall business. So certainly something we're going to continue to watch very carefully, but not something we have seen significantly impact our business yet, particularly in the U.S.
Jeffrey Bernstein - Barclays Capital, Inc.: Got it. And then just on the international comp, clearly, it's hard to argue with 92 consecutive quarters of positive comps. And I think, Patrick, you mentioned that three of your four international franchisees noted double-digit comp. I wasn't sure if I heard that right. But we're hearing about others talk about increasing volatility and pressure on the international, whether it's attributed to the macro or, more recently, maybe some political debate or political pushback. And I'm just wondering. Do you hear anything from your franchisees that have you watching the trend more closely or are there any markets where you're seeing a change in trajectory? Just trying to assess the international landscape and I figured you'd have a pretty good look from your view.
J. Patrick Doyle - Domino's Pizza, Inc.: Yeah. No, I think overall, it's absolutely fine. The comp in the fourth quarter was right in the middle of our long-term guidance that we give and we were rolling over, I think, an 8.5% in the fourth quarter of 2015. So, no, overall I think we're still feeling very good about our international business and really not seeing any particular dislocation outside of the U.S.
Jeffrey Bernstein - Barclays Capital, Inc.: Great to hear. Thank you.
J. Patrick Doyle - Domino's Pizza, Inc.: Thank you.
Operator: Your next question is from Alton Stump from Longbow Research. Your line is open.
Alton K. Stump - Longbow Research LLC: Yeah. Thank you and congrats, once again, a great quarter, guys.
J. Patrick Doyle - Domino's Pizza, Inc.: Thank you, Alton.
Alton K. Stump - Longbow Research LLC: I have two questions. First off, on the store growth front, I think you've more interested in the U.S., of course, pick up you're seeing as far as net unit builds was an international jump, that (41:56-42:07) actually I think now for the last six years in a row, has seen the actual pace of growth pick up and a pretty sizeable jump, particularly here in 2016 versus what you guys had seen the last couple of years. Is there any reason to believe that that might slow down at all? Was there anything sort of special, whether it be conversions, et cetera, in 2016 that will not repeat itself in the current year?
J. Patrick Doyle - Domino's Pizza, Inc.: Yeah. The conversions is the big one. And as we said, there were 254 conversions last year. And that conversion process is done in Germany. It's done in South Africa. There are some left in the conversion that we were doing in France, but still a relatively low number there. And so, mostly those conversions are now in the rearview mirror. So that is a little bit more on kind of the one-time side. And what I would say, though, overall, if you remember from our Investor Day, is we raised our unit guidance globally to 6% to 8%, and that's on a higher base. So overall, we're feeling good about it, but those conversions are going to be more of a one-time event.
Alton K. Stump - Longbow Research LLC: Okay, thanks. And then, just quickly on the U.S., I think most of my questions have been answered, but just wanted to ask about the salad launch. You're now a couple quarters into that launch, or a quarter and a half anyway. Just curious sort of what your learnings have been so far, if there may be an opportunity to expand beyond three varieties that you have nationwide currently for the pre-packaged salads.
J. Patrick Doyle - Domino's Pizza, Inc.: Yeah, so I'm not going to talk about anything we're maybe going to do in the future. But clearly, very happy with the salad launch and the customer reaction, as you could tell from the sales growth was very good.
Alton K. Stump - Longbow Research LLC: Okay. Thank you.
J. Patrick Doyle - Domino's Pizza, Inc.: Thank you, Alton.
Operator: Your next question comes from John Glass from Morgan Stanley. Your line is open.
John Glass - Morgan Stanley & Co. LLC: Thanks very much. In thinking about the U.S. business, it strikes me that your advertising budget grows ratably with your same-store sales, and that's growing much faster than the industry. So can you give a relative sense of how big your advertising budget domestically is versus peers? And are you still at the point where an incremental dollar spent on advertising is worth it or do you think about other ways to direct that money or salting it away for another period in time, if you don't think it's the case now?
J. Patrick Doyle - Domino's Pizza, Inc.: No we're still finding that the return on investment on incremental advertising is very good. Remember that when you look at television, you've seen pretty consistently 5%, 6%, 7% sort of inflation in rates on GRPs and so some of the growth is just being absorbed with kind of the inflation in media overall. We have continued to spend more on digital and get a very good return there as well. So overall, you're absolutely right. I mean, our advertising dollars have continued to grow as our system sales have grown in the U.S., but that's part of what keeps the momentum building on the business. And part of what's contributing to the overall comp is our share of voice continues to increase in the pizza category in the U.S. And you asked kind of where we stand versus others. I think overall right now, we're basically in the same range as Pizza Hut. We are certainly much bigger than anyone else. Measurements on that are not perfect, because as you get down into digital and local advertising spends, you don't know always have kind of perfect visibility on that. But we're basically in the same range as Hut and the two of us are bigger than other folks.
John Glass - Morgan Stanley & Co. LLC: Thank you. And then, just the topic of tax refunds has come up many times in the course of retail (46:36) earnings over the last several weeks. And there's been a delay this year, which seems to be catching up. Historically, has the timing of tax refunds impacted your business at all?
J. Patrick Doyle - Domino's Pizza, Inc.: I will be honest. Until I saw people starting to write about it over the course of the last two weeks, I had never even thought about the timing of tax returns. I don't know, Jeff, if you've got anything to add to that.
Jeffrey D. Lawrence - Domino's Pizza, Inc.: Yeah. I mean, in our business, you're more worried about people getting their paycheck every two weeks than you are about a tax refund that happens once a year. So, again, our franchisees are operating at a high level. That's way more important than any of the external stuff.
John Glass - Morgan Stanley & Co. LLC: Got it. Okay. Thank you.
Operator: Your next question comes from the line of Alex Slagle from Jefferies. Your line is open.
Alexander Russell Slagle - Jefferies LLC: Thanks. Patrick, question with the PULSE POS now in 25 international markets and majority of the international stores, but the percentage of stores on GOLO remaining modest to some of the bigger franchisees that already have their own systems, I mean, what's it's going to take to see a meaningful ramp in the portion of international stores on your global online ordering platform, where you can then get the transaction fee and further fuel the investment?
J. Patrick Doyle - Domino's Pizza, Inc.: Yeah, so, the first thing, I just want to correct something. You said that PULSE is in 25 markets. PULSE is in the majority of our markets at this point. And so that's the POS system, GOLO, Global Online Ordering, is the digital ordering platform and that's the one that's in 25 markets. We're continuing to add markets. Part of the ramp that you have seen on expenditures on digital ordering in our platforms has been building the team to on-board markets in international. So you're going to continue to see that grow this year and going forward. We think it's a real competitive advantage for those markets, because for the same reason that I say it is difficult for a regional competitor in the U.S. to have their own digital platform. So if you've got 100 or 200 stores, it is very difficult to kind of build your own platform. It is every bit as true for our master franchisees outside of the U.S., so unless they've got real scale. And so look at our big four public master franchisees, who have an awful lot of stores and critical mass, it's debatable whether or not it is wise for them to do it themselves, probably more efficient for us to do it for them. But they certainly have the scale that they can do it well. But for the smaller players, I think you're going to continue to see them come onto our platform.
Jeffrey D. Lawrence - Domino's Pizza, Inc.: The one thing I would add to that is, as Patrick said, we're now at about 80% of our global store base on one point-of-sale system. That is a huge competitive advantage as you think about scaling that technological investment over now what is just a huge, huge number. And that allows you to do the e-com stuff kind of once you get the people on the point-of-sale system. So, not to be understated is a strategy that we pursued coming up on two decades ago, which was to take the long and the hard road on the proprietary point-of-sale system. And so we're very bullish about what that could mean for us going forward for our brand.
Alexander Russell Slagle - Jefferies LLC: Great. Thanks. That's helpful.
Operator: Your next question comes from John Ivankoe from JPMorgan. Your line is open.
John William Ivankoe - JPMorgan Securities LLC: Hi. Thank you so much. Firstly, just in terms of the technology, the ordering fee, that you charge the U.S. franchisees. I think it's currently $0.21. Obviously, the franchisees get a lot of value for that $0.21. So just kind of want to get your thoughts in terms of potential pricing and how your franchisees would feel about you taking that pricing? So that's the first point. And then secondly, you've guided to G&A 2017 of $340 million to $350 million. A lot of that is going to be technology-oriented. What do you expect to accomplish with that money? Is it just around big data, understanding the customer. Is it going to be customer facing? Does it make store-level operations easier? If you feel okay doing it, talk about what kind of specific tangible return you expect to get from current tech spend, if possible?
J. Patrick Doyle - Domino's Pizza, Inc.: Yeah. So, John, on the first part of the question around pricing, we are at $0.21 to our franchisees. And our goal is to give the best digital experience to our customers and to our franchisees, and so to have the best digital platform in the restaurant industry, and we want to do it for the best value. So is there an ability, as we make investments, to move pricing? Yes, there is. But what we want to do is create more value for our franchisees than anyone else in the restaurant industry, and to do it for the best possible value.
Jeffrey D. Lawrence - Domino's Pizza, Inc.: Yeah. And kind of on your second question, this is Jeff, G&A, we've guided 2017. We only do it a year out, because we're in a dynamic environment, where we want to put investment to work in the places where we think there will be an ROI. Technology could not be more of a focus for us there. That's the big part of why we continue to see that going up. What does it get you? It gets you a little bit of everything. I mean, it gets you a fantastic point-of-sale system; again, now in 80% of our stores worldwide. It allows you to continue to keep up on the consumer-facing, and really to stay ahead and get ahead of the competitors on all the consumer-facing things, our AnyWare platform. We were able, in 2016, to launch things like Facebook Messenger with bot technology. We're really excited about that launch in particular, but that's just one of 16 or 17 ways you can access the brand. And it's also about in-store stuff. So it's about store operations and efficiency. And so technology is permeating our brand, no matter how you look at it. And so we want to continue to invest. The bad news about technology is that it's expensive, but the good news is, it's really expensive. The other guys, a lot of the other guys, just can't compete. And I will go back to the point I made earlier, which is, when you do it with one point-of-sale system, as opposed to three or five or 10, which some other brands run, I cannot tell you how important of an advantage that is. And so, it's really, again, permeating all through the brand. It's consumer-facing. It's in the store, and it's also the analytics. The reason why you see the commercials you see, the reason why you see the promotions you see from us, is because we spend a lot of time rolling through that data. And it's not the TV commercial because Patrick likes it or I like it, it's the one that tested the best. So, it's all areas. We're going to continue to pour gas on it. And we're pretty excited about the possibilities.
John William Ivankoe - JPMorgan Securities LLC: Thank you.
J. Patrick Doyle - Domino's Pizza, Inc.: Thank you.
Operator: Your next question comes from Mark Smith from Feltl and Company. Your line is open.
Mark E. Smith - Feltl and Company, Inc.: Hi, guys. Just curious in international, I know that you're getting to the end of the conversions. Are there more opportunities internationally, or potentially domestically ,for more conversions?
J. Patrick Doyle - Domino's Pizza, Inc.: Yeah, there probably are not any on the domestic side, at least not any of any real scale. I mean, it's always possible we find a little five store group or something somewhere, but that hasn't happened in my memory even, in Domino's. On the international side, there are a few, but it's pretty limited at this point. I mean really, the big constraining factor on conversions is what our footprint looks like, where that potential conversion might be. And as we get bigger and have a stronger footprint in a lot of markets around the world, the opportunity to do that gets smaller and smaller. So, I mean, we had a couple dozen stores, I think maybe 18 stores in Germany before we started the conversion there; obviously, a very, very big market. We had no presence in South Africa. And we had very limited presence in kind of Normandy and Brittany, which is where the French conversion is that we've been doing. So, it really comes down to presence. And, because you've got a delivery area and you've kind of locked down where a store is going to be able to deliver to, if you've got a lot of overlap between your footprint and a potential conversion's footprint, the economics just don't work for doing the conversion. So, there are still a few out there, but certainly what you saw last year, I think, is going to be unusual.
Mark E. Smith - Feltl and Company, Inc.: Okay. And then, one quick follow-up; everybody in the industry is certainly focused on labor cost. Can you just give us an update on where you guys are in kind of initiatives to improve labor efficiencies?
J. Patrick Doyle - Domino's Pizza, Inc.: Well, that's something that we're constantly working on, as we look at some of the investments that we're making in technology and analytics. And a lot of those things are about efficiency in our stores, finding opportunities for efficiency. But at the end of the day, one of the best ways to deal with any pressure on labor costs is grow your sales. And we've been doing that and there is a lot of efficiency that comes from just simply putting more volume through your stores. And that has a kind of a positive ongoing virtuous circle of effect on the business, which is it allows you to continue to be consistent around the value that you are producing for your customers. It allows you to be able to pay your team members well, so your stores are staffed, so you can give good service, which is going to grow your sales. I mean, it's just the momentum in the business simply gives you a much more flexibility in how you approach and it has clearly been part of the positive effect, is just sales growth themselves allow you to do things to continue to get that sales growth and manage that labor line.
Mark E. Smith - Feltl and Company, Inc.: Great. Thank you.
Operator: And your final question today is from Steve Anderson from Maxim Group. Your line is open.
Stephen Anderson - Maxim Group LLC: Yes. Thank you. And most of my questions have been answered, but I do have one follow-up question. A few of your peers in the industry have talked about the NFL season having affected sales, not just in pizza but also outside pizza. Have you been able to take a look at some of your weekday or weekend data and see if you've seen any changes in the rate of increase on, say, NFL game days versus the rest of the week?
J. Patrick Doyle - Domino's Pizza, Inc.: No, no, I mean, the NFL continues to be a great property. We advertise on the NFL. Somehow, that wound up getting an awful lot of press in the fall about ratings, but what I'd tell you is that ratings overall across primetime have continued to be down a little bit. Our Sundays continued to be strong as a category. And we had a great comp in the fourth quarter. So we continue to be very happy with the NFL, how it affects our business. And there was no difference for us in the fourth quarter of last year than we have seen previously.
Stephen Anderson - Maxim Group LLC: All right. Thank you.
J. Patrick Doyle - Domino's Pizza, Inc.: Okay. Well, if that's the last of the questions, I want to thank everyone for getting on the call today, and we look forward to discussing our first quarter results with you on April 27.
Operator: And this concludes today's conference call. You may now disconnect.